Operator: Good day and thank you for standing by. Welcome to the Targa Resources Corp. First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Tristan Richardson, Vice President, Investor Relations and Fundamentals. Please go ahead.
Tristan Richardson: Thanks, Michelle. Good morning, and welcome to the first quarter 2025 earnings call for Targa Resources Corp. The first quarter earnings release, along with the first quarter supplement presentation that accompany our call are available on our website at targaresources.com in the Investors section. In addition, an updated investor presentation has also been posted to our website. Statements made during this call that might include Targa's expectations or predictions should be considered forward-looking statements within the meaning of the Section 21E of Securities Exchange Act of 1934. Actual results could differ materially from those projected in forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our latest SEC filings. Our speakers for the call today will be Matt Meloy, Chief Executive Officer; Jen Kneale, President; and Will Byers, Chief Financial Officer. Additionally, members of Targa's senior management will be available for Q&A, including Pat McDonie, President, Gathering and Processing; Scott Pryor, President, Logistics and Transportation; and Bobby Muraro, Chief Commercial Officer. I'll now turn the call over to Matt.
Matt Meloy: Thanks, Tristan, and good morning, everyone. We have spent the last many years positioning Targa to be successful across changing environments and to be a beneficiary of market volatility and are proud of our execution across the first four months of the year. We reported record quarterly adjusted EBITDA despite our volumes being impacted by several winter weather events and as we look across the balance of 2025, we feel very good about our outlook. We stepped into global market volatility to opportunistically repurchase nearly $215 million worth of common shares so far this year. We have and will continue to manage the evolving global tariff impacts and have done an excellent job of purchasing steel in advance to limit our potential exposure on capital projects underway. Just as Targa has spent the last many years strengthening our positioning, the rest of the energy value chain has done the same, meaning the industry, we believe is largely well-positioned to manage through any environment with much stronger balance sheet and financial flexibility. We have seen the forward crude price curve shift lower, and our customers are not indicating material changes to their drilling programs for 2025 and 2026, which means we continue to expect meaningful volume growth going forward. In lower commodity price environments, producers typically focus on drilling their highest returning wells, which if you take 2020 as an example, meant rigs left the Permian Basin last and ultimately helped drive record volumes for Targa as we grew volumes in the Permian despite significant impacts from COVID. Since 2020, we have built an excellent footprint across the Delaware Basin to complement our Midland Basin footprint and believe that our best-in-class producer customers have the most resilient underlying drilling inventory. Our core value proposition of increasing adjusted EBITDA and increasing common dividend per share and declining share count is unchanged. We believe that our integrated asset footprint, largest position in the Permian and strong financial position, more than 90% fee-based, investment-grade rating, and leverage ratio at the midpoint of our long-term target range, will allow us to continue to generate attractive returns and return an increasing amount of capital to our shareholders. Before I turn the call over to Jen to discuss operations in more detail, I would like to thank the Targa team for their continued focus on safety and execution, even while navigating some difficult winter weather in the first quarter, while continuing to provide best-in-class service and reliability to our customers.
Jen Kneale: Thanks, Matt. Good morning, everyone. Let's talk about our operational results in more detail. Starting in the Permian, our natural gas inlet volumes averaged over 6 billion cubic feet per day during the first quarter, an 11% increase from a year ago. Our Permian volumes were down about 1% from last quarter as we were impacted by several winter weather events. As expected, Permian volumes have rebounded meaningfully and are trending approximately 200 million cubic feet per day higher than the first quarter. We are also forecasting a lot of well completions for the balance of this quarter and beyond, which supports our expectation of significantly higher back half volumes. In Permian Midland, our Pembrook II plant is now expected to come online in the third quarter of 2025. Our East Pembrook and East Driver plants remain on track to begin operations in the second quarter and third quarter of 2026. In Permian Delaware, our Bull Moose II and Falcon II plants remain on track to begin operations in the first quarter and second quarter of 2026, supporting both continued underlying organic growth and the new commercial opportunities that we executed in late 2024. We continue to invest in our Permian intra-basin and long-haul residue gas takeaway and FID of the recently announced Traverse pipeline project will continue to provide flow assurance and access to important markets for our customers. Shifting to our Logistics and Transportation segment, Targa's NGL pipeline transportation volumes averaged 844,000 barrels per day and fractionation volumes averaged 980,000 barrels per day during the first quarter, impacted by winter weather events that reduced volumes from our G&P assets. We also had a planned turnaround at Trains I through III at our CBF fractionation complex in Mont Belvieu across much of the first quarter and into April. Similar to what we are seeing in G&P, NGL volumes across both transportation and fractionation have rebounded. Given the anticipated growth in our Permian G&P business and corresponding announced plan additions, our outlook for NGL supply growth remains strong. Our Delaware Express NGL transportation pipeline remains on track for completion in the third quarter of 2026. Our GCF fractionator was reactivated in the first quarter, and our next fractionators in Mont Belvieu, Trains 11 and 12, remain on track for the third quarter of 2026 and the first quarter of 2027. Turning to our LPG export business at Galena Park, our loadings averaged 13.4 million barrels per month during the first quarter. While we had a few days of fog in the first quarter, our docks were effectively full, and we are seeing continued strength in cargo loading. The demand for LPGs globally remains strong, and we are well-positioned with long-term contracts in place. American supply is cost advantaged, and we believe that growth in U.S. supply will continue to be important to serve global demand. Our LPG export debottleneck expansion is expected to be in service in the fourth quarter, and we remain on track with our larger LPG export expansion, which will increase our loading capacity to 19 million barrels per month to be online in the third quarter of 2027. To build on Matt's earlier comments on our navigation of an evolving market of global tariffs, we see a low-single-digit percentage potential impact to budgeted project costs across our announced projects underway, which would fit well within our contingency for our projects. We are also doing a great job of managing our operating costs and procurement of materials that support our day-to-day operations. We are well-positioned operationally and believe that our wellhead-to-water strategy, driven by activity in the Permian Basin will continue to put us in excellent position to execute for our shareholders. I will now turn the call over to Will to discuss our first quarter results, outlook and capital allocation. Will?
Will Byers: Thanks, Jen. Targa's reported adjusted EBITDA for the first quarter was $1.179 billion, a 22% increase from a year ago. The increase was attributable primarily to higher Permian volumes, which drove higher volumes and margin across our integrated NGL system and to 100% ownership of our Badlands assets. Our adjusted EBITDA increased 5% sequentially and was driven by the Badlands transaction and higher marketing margin. As Matt mentioned, we continue to estimate full year 2025 adjusted EBITDA to be in a range of $4.65 billion to $4.85 billion. In February, we successfully completed a $2 billion offering comprised of 5.55% notes due 2035 and 6.125% notes due 2055. We used the net proceeds from the debt issuance to fund the repurchase of all of the outstanding preferred equity in Targa Badlands LLC and for general corporate purposes, including to repay borrowings under our commercial paper program. At the end of the first quarter, we had $2.7 billion of available liquidity and our pro forma consolidated leverage ratio was approximately 3.6x, well within our long-term leverage ratio target range of 3x to 4x. We continue to expect net growth capital spending for 2025 in a range of $2.6 billion to $2.8 billion and continue to estimate 2025 net maintenance capital spending of $250 million. Shifting to capital allocation. Our focus is more of the same from Targa. Maintain our strong investment-grade balance sheet, continue to invest in high-returning integrated projects and return an increasing amount of capital to our shareholders. We continue to deliver on our share repurchase program, we opportunistically repurchased 125 million in common shares at an average price of $191.86 per share during the first quarter and subsequently to quarter end, we repurchased an incremental 89 million at an average price of $167.28 per share. We also declared a 33% increase to our common dividend for the first quarter of 2025 relative to 2024. We are in excellent financial position with a strong and flexible balance sheet and we'll continue to try to identify the different levers that we can use to best position Targa to create value for our shareholders. And with that, I will turn the call back over to Tristan.
Tristan Richardson: Thanks, Will. For the Q&A session, we ask that you limit to one question and one follow-up and reenter the queue if you have additional questions. Michelle?
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Jeremy Tonet with J.P. Morgan. Your line is open. Please go ahead.
Jeremy Tonet: With oil price volatility, there's a lot of concern in the market with regards to producer activity. And you touched on this during your call, comments, but I was wondering if you could expand a bit more just with regards to how Targa differs from others as far as your customers who you're levered to versus maybe others, your position in the Permian relative to others? Maybe just if you could dive in a little bit more on how you see that could differentiate Targa in the current environment?
Jen Kneale: Sure, Jeremy. This is Jen. I think when we think about 2025, we feel really good about where we are at this point in the year with one quarter under our belt, where volumes are trending right now in April. The expected activity going forward with additional well completions expected and really where we expect to then exit 2025. We're, of course, in the midst of a lot of conversations with our producers as we consistently are and what we're hearing so far is really that we've got producers with multi-year drilling programs in place, and we expect there to be significant resiliency. I think that our differentiating factors are several. We've got the best G&P footprint across the Midland Basin and the Delaware Basin. And that's supported by what we believe to be the best rock across both of those areas, the best producers that are very well capitalized, very strong, excellent balance sheet and really a view that they are going to drill through cycles with that multi-year drilling program approach in place. And so I think we feel really very differentiated, and that's part of what's driven our outperformance. If you go back and you look at 2020, I think that's really where you saw the differentiation of our Midland Basin footprint, where despite the impacts of COVID, we grew volumes. Since then, we've now acquired what we believe to be the best-in-class Delaware footprint. So we've really got the basin, I think, covered and hopefully, we'll continue to provide excellent customer service to our producers that will put us in really good stead going forward.
Jeremy Tonet: Got it. That's helpful. Thank you for that. And then as it relates to CapEx, I was wondering if you might be able to elaborate a bit more on the direction of CapEx 2026 relative to 2025. I'm just wondering on the potential interplay with buybacks. And just how that all mixes together, given the share price volatility?
Jen Kneale: This is Jen, Jeremy. I think that from our perspective, a strong and flexible balance sheet is paramount to everything that we do. It allows us to continue to invest in the business, and then it allows us to pull different levers as opportunities present themselves. And you could see from our perspective that first quarter and in particular, April, presented some of those opportunities, given we were blocked out for half of April, shows that we are pretty active there in the first half of the month. I think as we look forward into 2026, we've got a number of growth capital projects underway that we believe will be much needed. Part of our 2026 spending on projects, particularly on the G&P side is for new processing plants that are supporting not only our organic base, but also the contracts that we entered into in the fourth quarter of 2024. And we think that those are going to be well-positioned projects that will be well utilized. Ultimately, what will change the cadence of growth capital spend in 2026 and beyond is activity levels. And I think that we've put out a pretty good blueprint both through our track record in 2020 and 2021 when we rationalized spending quite significantly. And then also with the more illustrative or hypothetical framework that we published last February. And really, it's that activity levels around the need for gathering and compression that could drive spending or higher, depending where activity levels end up. And then, of course, we'll have to think about the cadence of next project adds. But with the projects that we're adding across Gathering and Processing, Delaware Express on the NGL transportation side, our next two fracs and then our LPG export debottlenecking later this year and the next major expansion, we're going to be sitting in a really good spot from an operating leverage position across the footprint as well.
Operator: Thank you. One moment, for our next question. Our next question comes from the line of Spiro Dounis with Citi. Your line is open. Please go ahead.
Spiro Dounis: Thank you, Operator. Good morning, team. Matt, I wanted to go back to your comments about being able to benefit from volatility clearly sort of proven that in the past. I think last call, you even noted about $100 million of optimization in the year that you didn't really count on. And so I guess, you'd have to argue this year potentially even more opportunities for that, just given the volatility. So curious if you start to see that manifest itself anywhere and if that's something that probably could offset some of the commodity impact?
Matt Meloy: Yes, sure. No, good -- good question. We are seeing with our growing footprint, really on the gas marketing side and the NGL marketing side. Just as we're moving more and more volumes through our processing plants and into Belvieu into different markets, we're just seeing more opportunities to monetize some of our positions. So last year was a good year for us. I would say this first quarter, it was a good quarter for us and we kind of beat our expectations in terms of our marketing. We benefited more on the gas marketing side, but also saw a strong NGL marketing as well. But it wasn't to the magnitude; I'd say we saw last year necessarily. I think if you kind of look quarter-to-quarter, we were maybe up around $10 million or so, first quarter to what we kind of pointed to last quarter. So it was some of the sequential beat, yes, just as we see more opportunities, but there's also just good underlying business fundamentals as well.
Spiro Dounis: Got it. Good to hear. Second question, maybe just going to commodity. Maybe just remind us where you are relative to your fee floors and how you're thinking about the hedging strategy from here?
Matt Meloy: Yes. I mean when we provided our guidance, I'd say where we sit now, Waha has been very volatile and bouncing around 0, it's a little higher than that now. We are below our fee floors across our G&P footprint. So that's really unchanged from where we were at the beginning of the year. And our hedging strategy has really not changed too much. The length, the remaining length that we do have, we've hedged 90% of it through 2026. So we've really taken a lot of the commodity price delta out of our -- kind of out of our operating results, which is why you see, even with Waha at 0 or close to it, we're setting records in terms of EBITDA. You rewind five years ago, that would have had a much more punitive impact on us even with our hedging program. So we've done a good job from changing our contracts but also hedging the unprotected fee floor volumes as well.
Operator: Thank you. One moment, for our next question. Our next question is going to come from the line of Michael Blum with Wells Fargo. Your line is open. Please go ahead.
Michael Blum: Thanks. Good morning, everyone. So it seems like you're not seeing any change in LPG export activity levels, which is pretty consistent with your -- what your peers are saying. But I'm wondering if you're seeing any change in the destination of where those cargoes are going versus historical patterns? And do you see any scenario where LPG exports kind of don't move off the docks in the U.S.?
Scott Pryor: Hey Michael, this is Scott. I would say, fair to say that we have not seen any material change in our activity level at our docks as we've moved through not only through the first quarter, but through the second quarter. As Matt mentioned in our comments, we had a very nice first quarter, only impacted a little bit by some fog delays. So it was not quite as robust as what we saw in the fourth quarter. But again, materially speaking, we are fully contracted, not only through the second quarter but through the balance of this year and beyond. I would say that we are hearing that some of the destinations are changing relative to folks doing cargo switching on the water, if you will, so the international market, the waterborne market is very nimble when it starts looking at vessels that are on the water. Some of those have been moved from China over to Japan or Korea and then backfilled from Saudi tons or from other areas. So generally speaking, I would say, yes, some of the transits have changed, but the overall demand has not changed into those specific regions predominantly to the Far East. We are hopeful, much like what we saw with ethane that ethane was excluded from the tariffs for imports into China. We know that there are a variety of discussions that are going on that perhaps LPG could be excluded. We don't have that today. But again, it is a very fluid marketplace that is trying to evaluate what it needs to do. The market has the supply in the U.S. It is growing. Demand is growing worldwide. And I think the market is very capable of figuring out how to get product to where it needs to be from a supply-demand perspective and price will adjust predominantly on the commodity base side of things and not so much on the terminal fee side.
Michael Blum: Okay. Great. No, that's very helpful. Then just had maybe a different way to ask a question on buybacks. Just as we go into what seems like a more volatile macro backdrop, just wanted to get your take on how you're thinking about buybacks? Would you be more cautious trying to protect the balance sheet? Or at this point, should we think of buybacks as sort of part of the ratable program of capital return? Thanks.
Matt Meloy: Yes. Yes. Good question. Hey, Michael. I think as we think about buybacks, we've intentionally positioned that as an opportunistic buyback program. As Will pointed out, our balance sheet is 3.6x debt to EBITDA. We're in really good shape, see good EBITDA growth. So we're in a good financial position to where we see dislocations or weakness to be able to opportunistically repurchase. And that's what you saw us do in April. We moved in, in early April when there was a dislocation and we purchased more. I don't know what that's going to look like as we go forward, but it's really our same posture. I see us continuing to be active buying back our shares and just we'll see what happens in the market, see what volatility is there. But we think buying back shares will be a portion of the way we return capital to our shareholders.
Operator: Thank you. One moment, for our next question. Our next question is going to come from the line of Manav Gupta with UBS. Your line is open. Please go ahead.
Manav Gupta: Good morning. I just wanted to go back to the decision of moving forward with the Traverse pipeline. So help us understand the demand here? And also, how do you see this partnership with MPLX and Enbridge evolving over a period of time?
Bobby Muraro: Ask that second part of that -- this is Bobby. Ask the second part of that question again.
Manav Gupta: How do you see the partnership with MPLX and Enbridge developing over a period of time?
Bobby Muraro: Got it. Well, I'm not going to comment on the partnership coming together and now they're going to work together. But at the end of the day, there's a lot of demand growth, a lot of supply growth going down into South Texas. Same thing into the KD market. We were excited to see that pipeline go FID. It was in the plan when Blackcomb was launched, but it was contingent around, obviously, enough demand going into that pipe going South. The commercialization of that pipe has gone really well. We're really excited about it going with Blackcomb landing down in Agua Duice and the amount of supply going down there is the LNG demand is coming online over time. We are excited to see those two markets, demand centers and supply centers getting connected with a big inch pipe. I think it will be good for Targa. It will be good for the producers. It will be good for the markets coming down there, so.
Manav Gupta: Perfect. My quick follow-up here is with the macro uncertainty, the valuations have come in. If Targa sees the right opportunity, would you be open to a small-scale bolt-on deals? I mean, you have a very attractive line of organic growth projects, but would you be open to small bolt-on deals if they meet your threshold return criteria?
Matt Meloy: Yes, sure. Yes, on the M&A question, I think our posture really remains unchanged to what it has been. We have a really good footprint and a lot of really attractive organic growth opportunities, which is going to be our primary focus. If there are opportunities to supplement organic growth with bolt-ons, I think we'll continue to look at that, just as we have over the last several years. I would say the bar remains high. We have a lot of good opportunities and growth opportunities in front of us. But yes, we'll continue to look for bolt-ons if there's something that makes sense, then we'll evaluate those.
Operator: Thank you. One moment, for our next question. Our next question comes from the line of Keith Stanley with Wolfe Research. Your line is open. Please go ahead.
Keith Stanley: Last quarter, you said you thought Permian volume growth on your system would likely be even stronger in 2026 than 2025 and obviously, the macro has changed since then. What I'm curious about is you've pointed to a lot of commercial agreements and new plants starting up with commitments next year. Should we think of that as potentially providing some protection if the macro stays weak and helps to lock in some growth next year if activity slows?
Jen Kneale: Keith, this is Jen. I think what you're hearing from us is that so far this year is largely shaping up with expectations, and we're excited about the growth that we expect this year. I think when we think about 2026, what we're hearing from our major producer customers so far is the drilling programs are unchanged. Now clearly, there's going to be a lot of conversations between now and the end of the year and into Q1 of 2026 in producer boardrooms. But I think what we're saying is that we're really well-positioned because we're going to have a lot of growth this year, and that's going to result in us exiting 2025, at hopefully a pretty attractive cadence of growth that will help support into 2026. And then when we're talking about those commercial agreements that we signed in the fourth quarter of 2024, the point we're really trying to make is that those are really additive to the base growth that we were otherwise expecting for 2026 and part of 2025. So I think, yes, those help further support growth that we otherwise wouldn't have had if we hadn't entered into those agreements.
Keith Stanley: Great. Thanks. And second one, just the Q1 results were -- they're pretty solid given the volumes were down and down meaningfully in the case of frac. So it implies a pretty good pickup in unit margins across the Board. Any color you can give on that and if you're expecting continued stronger margins throughout the year?
Will Byers: Hey Keith, this is Will. There were several factors that drove the stronger results. But if you're looking on the G&P side, it was a little bit of contract mix and customer activity. Different people were off for different periods of time, and we had some higher margin contracts that delivered better margin as primary contributors.
Operator: Thank you. One moment, for our next question. Our next question comes from the line of Theresa Chen with Barclays. Your line is open. Please go ahead.
Theresa Chen: Good morning. There seems to be a bifurcation in the commentary from producers in terms of certain ones being more willing to be responsive to the uncertainty in the macro. I totally hear you, Jen, on no material changes thus far. Just curious on your asset -- sorry, customer composition at this point. What percent is public versus private, majors or large independents versus smaller players? Any color around there, please.
Jen Kneale: Good morning, Theresa. I don't think we're going to get into the sort of nitty-gritty specifics of how we want to break down our producer/customers. But I will say that certainly from our perspective, we're working with the biggest, the best, the most highly capitalized or most well-capitalized producers across the Permian, and that's part of what gives us a lot of confidence as we look forward as they continue to execute on their sort of multi-year drilling programs. I think that is something that, as a result of consolidation across the Permian over the last many years. We've really seen the majors become more meaningful players across the basin, and that's where we've got a lot of exposure along with the large independents. And so that's part of what's giving us, I think, at least a lot of comfort right now that when we think about the next several years, we're sitting in on a -- in a really good spot. But it really starts with the rock that our producers are sitting on and the inventory that our producers have. And ultimately, that's what we think is going to put all of us in a good position going forward. But certainly, for us, we believe that we are working with high-class producers, really strong positions that they are sitting on across the basin, both Midland side and Delaware side. And I think that's part of what differentiates Targa relative to some others.
Theresa Chen: Fair enough. And on the LPG export side of things, if there's not a carve-out for LPG amid the ongoing trade war. Can you talk about how this impacts the competitive landscape as some of your competitors have been very open about their brownfield and semi Greenfield economics and especially in light of new entrants into this part of the value chain towards the end of the decade?
Scott Pryor: Hi Theresa, this is Scott. Yes, as we talked about on our last earnings call, we talked about our brownfield project and how it will be very competitive in terms of the additions that it provides to our overall export capabilities as that comes online in the third quarter of 2027. When we look at the competitive landscape out there, really for us, it starts back to the wellhead. The wellhead obviously provides us a lot of opportunity for us to add gas processing plants, which as we walk through the lineup that we've got relative to the timing of plants that are coming online, the addition of our frac Train 11 and 12 in 2026 and 2027, respectively. All of that provides additional volume for us. So for us, it's really homegrown NGLs that are coming from the Permian Basin predominantly that are feeding into our pipelines that are feeding into our fractionation facility and then ultimately down to our docks at the facility. So yes, there's more expansions that are coming online. But again, we view it from the perspective of this is volumes that are coming off of our platform, and we want to keep them on the platform to feed across our export docks.
Operator: Thank you. One moment, as we move on to our next question. Our next question is going to come from the line of John Mackay with Goldman Sachs. Your line is open. Please go ahead.
John Mackay: Hey team, thanks for the time. I wanted to go back on a couple of things. Just first, appreciate the comments on kind of outer year CapEx flexibility. But if we go back to the numbers you framed up a year and a bit ago about being able to go down to $300 million of CapEx in a kind of flatter Permian environment. I guess given the bigger downstream projects you're working on right now, like effectively, when would you be able to get to kind of down to $300 million, let's say, if the macro does start to soften? Is that on the table for 2026? Is that 2028? Just frame up that kind of downside projection for us, please?
Matt Meloy: Yes, sure. No, that's -- as you think about our CapEx, it's really finishing up those larger downstream projects, which we see completing. And so it's fractionation Trains 11 and 12 and our export. And so those will be largely complete into 2026 in the early part of 2027. So if we are in an environment where, again, that if natural gas volumes are flat, it means crude oil is declining. And it was in that kind of environment, we said we think to stayed flat, it would be roughly about $300 million or so of capital that keeps flat. So it's really after our downstream projects, our major projects are online that we would then, if we're in that environment step down to that level.
John Mackay: All right. Got it. Thank you. And then maybe just circling back, I think it was a question Keith was asking, I'll just ask in a different way. For the next set of plants coming online, you've seen them come online pretty full in the past. I guess, is there anything you can frame up for us on how to think about these ramping as they come online? And then particularly, again, if we're in a softer macro environment, slower production growth environment, what that ramp could look like? Do you get some help from, I don't know, volumes currently being offloaded to a third-party? Anything like that you can frame up.
Matt Meloy: Sure. I'll start, and I've got Pat and Jen can jump in here. But what we've seen -- I'll talk about Midland and the Delaware. On the Midland side, whenever we brought on plans, they've been pretty full pretty quickly. That system really communicates well and we're able to depressure the system, bring on -- when we bring on additional capacity and it fills up relatively quickly. And I think that will be our expectation for our next plants across the Midland. Delaware, we're working on enhancing the communication between all of our different facilities. We're laying additional lines, and we're improving that. That one is probably a little bit more discrete, and it will depend a bit more just on the overall production growth we have between now and kind of through 2026 when those plants come on. So we still see those as highly utilized, much needed, but perhaps a little bit more, we call kind of white space on the Delaware side of things compared to the Midland. And it, of course, will depend on what our producers say they want to do into 2026 drilling plans and into 2027.
Operator: Thank you. One moment, for our next question. Our next question is going to come from the line of AJ O'Donnell with TPH. Your line is open. Please go ahead.
AJ O'Donnell: Good morning, everyone. Just wondering if I could start with the Pembro II getting pulled forward. Just wondering if that is at all like kind of somewhat changed your outlook on volume expectations for the year? And if it has, was that pull-forward more customer driven? Or would you say it was more on your end with construction just finishing ahead of schedule?
Jen Kneale: Good morning, AJ. This is Jen. I'd say it's more of the latter. I'd say that our engineers do a really good job of forecasting when they expect projects to be online. But we also have a pretty good track record of being able to move projects forward a month or even a quarter as we get closer to nearing that date when they're expected online. And so this was just, frankly, we've been able to get it done a little bit more quickly than we previously forecasted.
AJ O'Donnell: Okay. And then maybe just one more question on the macro. I'm trying to figure out how you guys would anticipate the Permian production trending, say, fundamentals deteriorate a little bit more, and we have 50 to 55 WTI for a sustained period of time or maybe asked differently, in a flat oil environment, what do you think Permian gas production would do on an annual basis?
Pat McDonie: Yes. This is Pat. With increasing GORs, I've seen different numbers and our peers have stated different numbers. But I think there's 2% to 3% growth in gas over a flat crude oil environment, probably pretty good baseline. And certainly, I've heard higher numbers. So if you're flat on crude oil with current gas volumes, is that somewhere between 800 million a day to 1.2 Bcf a day growth in gas. That's kind of the range that I think you land in. And obviously, as Jen alluded to earlier, we feel like a lot of what's getting drilled is going to get drilled along Targa acreage. So we feel like that we're going to capture a larger percentage of whatever does get drilled and be in a good position for continued growth.
Operator: Thank you. And one moment, for our next question. Our next question comes from the line of Sunil Sibal with Seaport Global. Your line is open. Please go ahead.
Sunil Sibal: Yes. Hi, good morning, everybody, and thanks for the color on the call. I just wanted to start off on the hedging position. I think you said you're hedged through 2026. Have you layered on additional hedges in the recent few months?
Jen Kneale: Sunil, this is Jen. I'd say that we're always continuing to add hedges. I think that we took a point of view previously when we stepped it up to be more than 90% hedged or at least 90% hedged through 2026 that was partially driven by a view of natural gas prices that we had. We've been continuing to add hedges since then, and we'll continue to add hedges going forward. I'd say that we are very disciplined around our hedging program and are more apt to add hedges than think about reducing our hedge exposure. And then of course, we have a lot of protections in place from our fee floors as well. So when we talk about our hedging program, we're generally not talking about a whole lot of margin that has exposure there. But hedges do allow us to even protect that piece of margin that does have that exposure.
Sunil Sibal: Okay. And then going back to the volume question a little bit, I hear that producers not changed their production plans. What is your sense in terms of talking to them at what kind of crude oil prices do you think there will be a response from their side in terms of change of drilling plans?
Jen Kneale: I think that every producer is different, Sunil. And ultimately, that's part of what are going to be a whole lot of Board discussions for each and every producer. I think that so far, we've frankly seen a mixed bag. We saw one smaller producer that added a rig, and we've seen one smaller producer that pushed some completions. In terms of the larger producers that would really be the needle movers on Targa systems, we're just hearing that they've got multi-year drilling programs underway, and there's no changes at this point in time. So I think each and every producer will evaluate their individual situation, their individual acreage, their individual contracts for services and other items that really impact their economics as well and then make the best decisions for them. We're well-positioned with the assets that we have in place to service all our producer customers. And we believe that our assets will be well utilized. And so I think that we're sitting in a really good spot. But ultimately, I think a lot is going to continue to shake out. It feels like every day, we've got a little bit of a changing environment here, so is to say where we'll end up when we finish this year. But I think that we've got really strong producers that are moving volumes onto our system. They are in an excellent position from a balance sheet perspective and that's part of what gives us a lot of confidence going forward in some level of continued activity.
Operator: Thank you. And I would now like to hand the conference back over to Tristan Richardson for further remarks.
Tristan Richardson: Thanks, Michelle, and thanks to everyone for joining the call this morning, and we appreciate your interest in Targa Resources.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.